Operator: Good day, and thank you for standing by. Welcome to the Precision Drilling Corporation 2024 Fourth Quarter and End of Year Results Conference Call and Webcast. I would now like to turn the conference over to Lavonne Zdunich, Vice President of Investor Relations. Please go ahead.
Lavonne Zdunich: Thank you, Kevin. Welcome to Precision Drilling's fourth quarter and year-end conference call and webcast. Today, I'm joined by Kevin Neveu, Precision's President and CEO; and Carey Ford, our CFO. Yesterday, we reported our fourth quarter results, concluding another year of strong cash flow and profitability. In our news release, we revealed our 2025 strategic priorities that the whole Precision team is aligned with. Our 2025 priorities remain focused on generating shareholder value by maximizing free cash flow through disciplined capital deployment and strict cost management, enhancing shareholder returns through further debt reduction and increased share repurchases and growing revenue in existing service lines. Before I turn the call over to Kevin and Carey, I would like to remind our listeners that some comments today will refer to non-IFRS financial measures and include forward-looking statements, which are subject to a number of risks and uncertainties. For more information on financial measures, forward-looking statements and risk factors, please refer to our news release and other regulatory filings available on SEDAR and EDGAR. As a reminder, we express our financial results in Canadian dollars unless otherwise stated. With that, I'll turn it over to Carey.
Carey Ford: Thanks, Lavonne, and good afternoon. Precision's 2024 annual financial results demonstrated our resilient business model and ability to meet our financial commitments despite lower industry activity in certain core markets. Before detailing our 2024 financial results, I will recap Precision's 2024 strategic priorities and our performance against each. Number one, concentrate organizational efforts on leveraging our scale and generating free cash flow. We generated cash provided by operations of $482 million, reached near full utilization on our Canadian Super Series rigs, increased year-over-year activity in international drilling, Canada drilling and well servicing by 37%, 12%, and 26%, respectively. We also achieved full synergies in our CWC acquisition. Number two, reduce debt by $150 million and $200 million and allocate 25% to 35% of free cash flow before debt repayment to share repurchases. We reached the midpoint of both of these targets and lowered our net debt-to-EBITDA leverage ratio. And number three, continue to deliver operational excellence and strengthen our competitive position and extend market penetration of our Alpha and EverGreen products. During the year, we nearly doubled our EverGreen revenue year-over-year and added 2 new major product offerings on our Super Single rigs, which were LED mass lighting and hydrogen combustion catalyst systems. We also invested $52 million into our fleet and grew market share year-over-year in Canada. I will now cover annual financial highlights, which include revenue of $1.9 billion, essentially flat year-over-year, adjusted EBITDA of $521 million, a 15% decrease year-over-year. Funds from operation of $463 million, a 13% decrease and cash from operations of $482 million, similar to prior year. We achieved debt reduction of $176 million and $75 million of share repurchases, representing 4% of our outstanding shares, and generated positive earnings per share every quarter during 2024 and for the past 10 consecutive quarters. Moving on to fourth quarter results. Our fourth quarter adjusted EBITDA of $121 million included a share-based compensation charge of $15 million and nonrecurring charges of $8 million. Nonrecurring charges included $4 million of rig reactivations and $4 million of severance inventory write-downs and year-end accrual cleanups. Absent these charges, adjusted EBITDA would have been $144 million. In the U.S. drilling, activity for Precision averaged 34 rigs in Q4, a decrease of 1 rig from Q3. Daily operating margins in the quarter, absent impacts of IBC and turnkey, were USD 9,165, just shy of our guidance of USD 9,500, and USD 1,719 below Q3 levels. For Q1, we expect normalized margins to range between USD 8,500 and USD 9,000. The expected margin decrease is due to slightly lower day rates and higher overhead costs spread over fewer activity days compared to Q4. In Canada, drilling activity for Precision averaged 55 rigs, an increase of 1 rig from Q4 2024. Daily operating margins in the quarter were $14,559, an increase of approximately $2,131 from Q3 2024 and slightly below our guidance of $15,000 per day. Q4 margins included approximately $4 million or just over $500 per day in rig reactivation costs. Absent these costs, margin performance would have exceeded guidance. For Q1, we expect margins to remain consistent with Q4 at $14,500 to $15,000 per day. Compared to Q1 2024, margins are down approximately $1,000 per day, and this is due to rig mix and planned rig reactivations versus 0 rig reactivations last year. Internationally, Precision's drilling activity in the quarter averaged 8 rigs and average day rates were USD 49,636, in line with the prior year. We expect 2025 activity to be consistent with 2024 levels. In our C&P segment, adjusted EBITDA this quarter was $16 million, a $4 million increase from the prior year quarter. Adjusted EBITDA was positively impacted by a 6% increase in well service hours, reflecting a full quarter with the CWC service rigs. We expect results to improve in Q1 with increased rates, activity and rental performance. Capital expenditures for the quarter were $59 million and for the year, they were $217 million. Due to timing of equipment deliveries, our capital expenditures were slightly higher than our guidance of $210 million. Our 2025 capital plan of $225 million is comprised of $175 million for sustaining and infrastructure and $50 million for upgrades and expansion. This plan will increase or decrease based on activity levels and contracted customer upgrades. Moving to our contract book. As of February 12, we had an average of 43 contracts in hand for the first quarter and an average of 37 contracts for the full year 2025. Based on customer conversations for Super Triple and upgraded Super Single rigs, we expect the number of Canadian contracts to increase over the coming quarters. Moving to the balance sheet. As of December 31, our long-term debt position net of cash was $748 million, and our total liquidity position was approximately $600 million, excluding letters of credit. Our net debt to trailing 12-month EBITDA ratio is approximately 1.4x, and our average cost of debt is 6.9%. For 2025, it is clear that we are nearing our long-term capital structure target of below 1x leverage, and we continue to balance our cash liquidity, debt maturities, total debt and leverage ratios while optimizing our cost of capital. This year, we plan to reduce debt by at least $100 million and have increased our long-term debt reduction goal from $600 million to $700 million between 2022 and 2027. As of December 31, 2024, we have reduced debt by $435 million over this period and now have an additional $265 million reduction over the next 3 years to achieve our goal. Moving on to guidance for 2025. We expect depreciation of $300 million, cash interest expense of $65 million, effective tax rate of 25% to 30% with low cash taxes, SG&A before share-based comp expense of $100 million, share-based comp expense of $25 million to $35 million with a share price range of CAD 80 to CAD 100, assuming a 1x multiplier. Please note that this is a preliminary estimate, and we will provide updated guidance on our Q1 call following the settlement of past grants and issuance of new grants later this quarter. That concludes my prepared comments. I'll now turn the call over to Kevin.
Kevin Neveu: Thank you, Carey. So I will speak to our outlook for 2025, and I'll provide some additional perspectives on Precision's strategic priorities, which Lavonne outlined earlier. So let me start with our strategic priorities as this is core to how we execute at Precision. First, we believe this is key messaging for Precision's investors. We're laying out exactly what we intend to accomplish and that our investors can count on us to deliver against those commitments. We've been providing this guidance and meeting or exceeding our targets for over 9 years. We believe this important messaging provides our investors with a clear line of sight as to how we'll continue to create value and what we can be held accountable for. Internally, the strategic priorities are an essential driver of the Precision culture. From these annual priorities, we build out the individual objectives for each leader in the organization. Those individual objectives are then cascaded down throughout the full organization in order that virtually every employee understands where they fit and how their work impacts shareholder value. This organization-wide alignment model ensures that every element of our business that we can control is tightly monitored, measured and controlled and that we can deliver every result we commit to. For most of the past decade, our primary strategy has been creating shareholder value by reducing debt and converting enterprise value from debt to equity. To support this strategy, we crafted annual priorities intended to optimize the value of our services, seek returns on rig investments and ultimately maximize free cash flow. And for the past decade, this free cash flow has been primarily prioritized towards debt reduction. Using this strategic process, we retired over $1.4 billion in debt, bought back over $150 million of stock. We fully commercialized our Alpha automation suite. We introduced and commercialized our EverGreen Solutions. We've continued to invest in rig upgrades when supported by customer contracts. We have integrated 2 consolidating acquisitions and grown our Canadian drilling and well service market share. We've reloaded our international business with long-term contracts and steady predictable cash flow. Our U.S. segment has been a little more challenging. I'll come back to that in a few moments. Now Carey mentioned that we're nearing our target long-term capital structure. And with that, we've been slowly transitioning our strategy, first increasing the allocation of cash to share buybacks and now throttling down our pace of debt reduction. Embedded in this cash allocation shift is creating the financial flexibility to consider more growth-focused investments such as additional fleet upgrades and exploring potential tuck-in style acquisitions. Now with that, let me come back to our U.S. Drilling segment, where I commented earlier that this has been a little more challenging for us. The U.S. land market in general has been in malaise for the last 24 months, led in 2023 with gas-directed activity declining and in 2024 with drilling efficiencies, among many other factors, negatively impacting oil-directed activity. When this malaise began, Precision's market share was underpinned by strong customer relationships and market positions in both the Haynesville and the Marcellus. We've reinforced that very favorable customer position over the past couple of years and very encouraged by the gas opportunities we see looking forward. I won't go in the limb and predict the gas drilling activity will end 2025 at a higher level than we've seen in the last several quarters, but I believe Precision is well positioned to gain share and grow utilization in these areas. Oil activity, on the other hand, appears to remain constrained by operator capital discipline, commodity price volatility, operator consolidation and some continued efficiency impacts. I am not going on the limb to predict an increase in oil activity. On the contrary, flat feels like the right call in oil activity. Now that said, rig efficiency continues to be an important competitive differentiator, and this presents an opportunity for Precision. With this market backdrop, I believe that Precision has growth opportunities. And to that end, we made some adjustments within our U.S. team. Late last year, we restructured our operations group to flatten up the management structure and to improve our focus on customer needs, specifically leveraging our success in the gas basins to the oil-focused customers. We also enhanced our sales organization with additional sales and marketing expertise to better communicate the efficiencies we can deliver with our Alpha automated Super Triple rigs and the cost savings our EverGreen products deliver along with the overall safety and efficiency our highly skilled crews provide. As noted in our capital plans, we've earmarked $30 million for U.S. rig upgrades, which I expect will largely be focused on long-reach horizontal capability enhancements. We believe our intense focus on the U.S. will improve our positioning in oil while ensuring we continue to capture the new rig opportunities, which seem to be emerging in gas. To close the loop on our strategic priorities, this U.S.-focused initiative is captured in our third priority to grow existing revenue in existing service lines through contracted upgrades, optimized pricing, utilization and opportunistic tuck-in acquisitions. To touch on the acquisition topic for a moment, we believe the drive to efficiency across the drilling industry is a technology and scale-based exercise. We believe this will marginalize the rigs that don't have the technology or the scale to deliver the operating and cost efficiency that the oil and gas operators demand. We believe that industry consolidation is an opportunity, and we'll have the financial capability to pursue tuck-in deals, which is important to us, but only if we can achieve the appropriate value on these transactions. Turning to Canada. The outlook remains very good indeed. Now there has been some short-term concern, mainly focused on the potential of U.S. tariffs on Canadian energy. The more recent clarity around potentially reduced tariffs for energy versus other Canadian exports has moderated that concern. And the delay in implementation of tariffs also seems to encourage further Canadian to U.S. negotiations aimed at exempting energy entirely, which I believe benefits everyone. Looking back at the fourth quarter, Canadian drilling activity tailed off more than we expected with the traditional Christmas break, and we believe this was due primarily to budget exhaustion. We were encouraged by how quickly customers activated our rigs immediately following Christmas as we rebounded to 79 rigs by January 8, then to 81 just a few days later, and this level has held firm through today. Breakup will be weather-driven, not budget constrained, and we have good customer indications that activity during breakup will exceed last year's record level and should approach 50 rigs operating straight through the spring breakup period. Second half activity should also benefit from increased customer demand once LNG Canada fully starts up. It is likely that we'll be upgrading more Super Singles to pad systems as the efficiency gains these rigs deliver allow us to capture a larger portion of the value we create. As Carey noted in his comments, we activated 3 rigs in December, and we are activating another Super Singles during the first quarter that should be studying for a customer in May. In our Canadian well servicing segment, we also experienced a steeper-than-expected slowdown over Christmas. The winter activation ramp-up was also slower than we experienced in our drilling segment. It seems that some of the tariff uncertainty slowed down customer decision-making for workovers and abandonments. We have noticed an improvement in customer urgency and demand once the lower potential tariffs were clarified. Our active service rig count today is now hovering in the mid-90s, similar to the activity level this time last year. As a side note, during the fourth quarter, we entered a joint venture with 2 First Nations groups in British Columbia. They invested along with Precision in several fully recertified service rig spreads. Since the inception of this JV, the available rigs have been essentially fully utilized by Montney operators looking to support First Nations communities. I'm excited about this opportunity for both Precision and our First Nations business partners and anxious to see this expand and perhaps include more First Nations groups and additional assets. For those customers looking to support the local First Nations communities, this is an excellent avenue for all stakeholders. Turning to our international business. Oil activity looks to remain flat for the balance of 2025. We have not received any suspension requests in Saudi Arabia, and we do not believe we will. Now remember that we're a relatively small player in that market. Our Kuwait operations should remain firm for this year and into next year with long-term contracts in place. Now we have seen an influx of unconventional gas inquiries for multiple rigs in 3 different regions. Most of these are looking to utilize North American style pad rigs and technology to pursue shale gas developments. I will intentionally remain very vague about this project or these projects as other drillers and some perhaps listening to this call will also be pursuing these inquiries. Now it's unlikely that any of these rigs would spud before year-end as contract negotiations, equipment certifications and mobilization times preclude a rapid deployment. So I'll wrap up my comments by reaffirming that Precision's entire organization is aligned to deliver our strategic objectives, which are all aimed at increasing shareholder value. There should be no doubt that we believe we are turning the corner on nearly a decade of debt reduction as we're increasing our allocation of cash to shareholders, and we are looking to invest in our business for targeted growth. I want to thank all Precision stakeholders for their patience through the volatility this industry experiences. I want to thank the employees of Precision for delivering on our 2024 commitments. And I know we are all looking forward to repeating this again in 2025. And with that, I'll turn the call back to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Aaron MacNeil with TD Cowen.
Aaron MacNeil: Kevin, one of your competitors is guiding to lower U.S. activity in Q1 and slightly lower margins. I know you mentioned that you've got 34 rigs earning revenue in the U.S. and 30 marked as active on the website. So I don't think I'm making a huge leap to assume here that there's a couple of idle but contracted rigs in the U.S. And so I was just hoping you could speak to contract duration for those rigs and if you think you can sort of backfill that activity with new work.
Kevin Neveu: Really key question kind of on our U.S. strategy right now. So there's been an awful lot of churn in the U.S. and a lot of that in oil, a lot of these are very short-term well-to-well, pad-to-pad type contracts. And that's going to continue through the next couple of quarters in the U.S. So I think there is downside risk. Now I did talk about the changes we put in place to try and leverage our capabilities better in the oil-based basins. I would tell you that I'm really thinking about the first couple of quarters of this year as being flat. But I think that we'll get traction both in gas and with some of our actions that should help us later in the year. But it's going to take a while. And I think there's downside risk. I don't think our contract book covers us in the first couple of quarters. But we've managed that trend pretty well over the past few months and expect us to manage it well going forward.
Aaron MacNeil: Got you. Makes sense. I know I'm probably being too acute here. But at a recent energy conference, a few Haynesville producers suggest that they wanted to see significantly higher gas prices before they put new rigs to work. And I can appreciate that the Haynesville isn't the only area where you might see an uptick in gas focused activity. But what assumptions are you sort of making that give you comfort that you'll see that activity growth in the back half of the year?
Kevin Neveu: Yes, Aaron, so I think I've heard the same narrative you've heard and that price range that customers are comfortable with ranges from kind of high 3s to mid-4s for NYMEX gas. We understand that. We've had a number of conversations with customers, both in the Marcellus and in the Haynesville. We'll have some churn in this quarter, but I expect our rig counts in those areas will stay pretty firm, maybe move up a little bit. And I think we see opportunities right now that haven't been committed to yet, but could emerge in Q2 and Q3.
Operator: Our next question comes from Kurt Hallead with Benchmark.
Kurt Hallead: I guess I just want to maybe kick off the Q&A on the Canadian front. So Kevin, you referenced still a very constructive outlook with respect to activity levels. However, coming back to Carey's comment about margins in the first quarter being down on a year-on-year basis. How do we think that progresses throughout the course of the year? Is the first quarter going to be the low point? Have you got some momentum there? What are some of the headwinds? Maybe kind of flesh that out a little bit more for us or help us.
Kevin Neveu: Carey, go ahead.
Carey Ford: Sure. Kurt, so I would say that on the margin forecast for Q1, it's a combination of two things. One, we have some rig reactivations that are negatively impacting margins just like we had in Q4. And we also have a little bit of rig mix that's slightly shallower than what we had last year in Q1. And that's kind of a result of the strength of the Super Single market. So the heavy oil market remains really strong. If we look at day rates by rig class and margin by rig class, we have not seen any degradation in pricing or margins. It's just the rig mix has been shifted a little bit more towards the Super Singles, which is causing that just a little bit of pressure on margins.
Kevin Neveu: Kurt, I will add to that say that certainly on the noncontracted rigs that will churn during the year in Canada, but I think stay fairly constant in activity. our sales team is really focused on ensuring that we capture our fair share of the value. So I do expect there'll be some pricing traction as the year progresses. We certainly have an expectation that LNG Canada will increase rig demand, especially on triples, and that will add more pricing tension and give us more opportunity. So I think we're pretty optimistic on margins trending throughout the year.
Kurt Hallead: All right. Great. And then maybe on a follow-up, this question might be easy for you to punt, Kevin, but we're all kind of flying blind here. So let's flag blind together. On the tariff front, right, you guys referenced that you made some purchases of drill pipe going into the fourth quarter in anticipation of some tariff dynamics. When you look at the potential business risk and business exposure, whether it be broader context of is this going to impact oil exports into the U.S. is it going to impact any of the Canadian E&Ps, how they kind of approach the market? Again, you referenced buying some drill pipe in the 4Q. Did you buy enough drill pipe to last you through the full year? Again, let's flag line together on this, Kevin.
Kevin Neveu: Yes. Kurt, this is something we spend a lot of time on. We did a detailed deep dive for our Board a few days ago to make sure they understand kind of what the levers are that we have. First thing I'd tell you is that when the tariff discussion was kind of dropped from 25% down to 10%, there's kind of a huge side relief among the Canadian operating companies. So I think what that means is that the tariffs are far less impactful than large swings in WTI or large swings in Canadian exchange rate. And so far, what we've seen is that the tariff has actually caused the Canadian exchange rate to be more unfavorable to the Canadian dollar, which is more favorable to our customers selling their product and oil. So a little bit of that tariff impact has been marginalized up by the exchange rate change. I still worry more about the larger macro impacts. We don't know what's going to happen with Russia. We don't know what's going to happen in the Middle East right now. There's a lot of uncertainty there. And I think those macro events could have more impact on activity than the tariff issue. And I think we'll have a little bit of friction in some of our costs if the maximum tariffs are exercised. But we've got a very diverse supply chain, and we've got, I think, ways to manage around the tariffs, the general manufacturing, bypassing some of the areas that are tariffs stick. And so I mean our conclusion with the Board is that the macro risk that we always face every day in this business is still there, and the tariff risk has been mitigated by the lower tariff levels are being brought forward. I'm not sure if that answers your question, but we're feeling pretty comfortable about things right now.
Operator: Our next question comes from Sean Mitchell with Daniel Energy Partners.
Sean Mitchell: Just wanted to kind of poke around on the activity front. We've heard rumblings of some of the private guys starting to pick up rigs again more recently. And I think we understand, obviously, there's been a lot of M&A in the market on the larger E&Ps and some of those assets that get bought take a while to kind of figure out what they're going to sell. But you're starting to see some of that. Do you guys see any of that in the customer mix or in the conversations with some of the private guys on the E&P front looking to put stuff back to work? And is that offset by more public companies laying stuff down? Or kind of how should we think about it? Because I think the market is basically and you're in line with it, is saying flat activity, especially for the oil market in '25. But I got to think at some point, some of these private guys put rigs back to work. And I'm just trying to see if you have any commentary on that.
Kevin Neveu: Yes, Sean, if you follow the public data on Precision, you'll find that we have 2 rigs right now with a fairly new private equity start-up. So the short answer is, yes, we do see some capital coming back into the E&P space. That's a good sign. I'm also encouraged by the recent IPOs, oil service IPO and LNG IPO, both performed quite well. So it does seem like there's capital coming back in. Private capital is usually kind of the leading edge. IPOs kind of follow that. Although this seems to be a bit encouraging. There's no question talking to investors over the past, I'd say, 45 days, really since the election actually, but in first part of this year, our investors seem to feel better about investing in this political environment in the U.S. than they did a year ago. So I think we're going to have a lot more people looking closer at energy, looking closer to oil and gas, looking at closer to oil and gas services. Certainly, we're seeing it in just the investor mix we're getting at conferences. But going back to your original question, yes, private equity is coming into the space early, small and slow, but it's a good indicator.
Sean Mitchell: Yes. And then maybe one more follow-on on that front, just the activity. As we think about '25 being kind of flattish, maybe there's some gas rig activity in the back of the year. But as you roll into '26, I guess my larger question would be, we've had, I don't know, 565 rigs running in the U.S. essentially for a while now. It seems like it's kind of flattish through this year, maybe up a little, maybe down a little. But if you roll into '26 and things there's actually a call on rigs and crews. How do you think the industry will respond? Or some of the people that have been laid off, are they coming back? Or like will we have kind of a labor problem getting people back to work, I guess, is what I would say.
Kevin Neveu: Yes. So a couple of parts to your question there. First of all, I would tell you that if the rig count stays flat this year, I think the technology advanced drillers, there's probably 4 or 5 of us that fall in bucket, probably have more rigs running and the less technology advanced or less skill-based drillers probably have fewer rigs running. So I think there'll be a market share shift in a Iat environment Ie our customers still want efficiency, they want more and more efficiency. And you need Alpha automation, you need large pad rigs that can drill multi-well pads with sequential drilling. You need all of that to get the maximum efficiency. So I think that trend is going to continue throughout 2025. I would tell you that over this last cycle kind of post-COVID, we've been quite surprised by the veracity of our recruiting programs and how well that's worked for us. So we haven't seen a problem recruiting. It's a tight labor market. We're getting lots of inquiries for jobs. We process lots of resumes and lots of applications. We sort through them and find the right guys and hire them. I don't think we'll be labor constrained. If there's a call on rigs and the rig count goes up, I think that the larger scale-based drillers will benefit the most because efficiency will matter in everybody's mind going forward.
Operator: Our next question comes from Keith MacKey with RBC Capital Markets.
Keith MacKey: Just wanted to start on the U.S. business. I know the market has been flat to down for a while. And certainly, with your rig mix being a little bit more gas weighted, you've kind of felt a bit more of a brunt of that. But can you just talk a little bit more about what you're thinking on the tuck-in front? I know certainly, there's been challenges historically to getting deals done with looking at value per rig and things like that and there being a wide bid-ask spread there. But has anything changed on that front as far as how you might think about how to evaluate tuck-in or the rig, I guess, the market share mix of some of these private companies as it does feel like some of the public companies have been saying, here's our rig rate, you can take it or leave it and some of the private they've been going to the private companies who have been taking it. And so can we just talk a little bit more about how you're thinking around that end of the market?
Carey Ford: Yes, Keith, I would say that the market for consolidation is still there. There are a number of potential targets that have been either softly marketed or formally marketed over the past few years. We think that most of those targets believe in the benefits of consolidation. And I think the highlight here from Kevin's prepared comments are really that our capital structure and balance sheet is in shape right now to where we can pursue a few more growth opportunities. We think we're in a pretty good position to affect one of those transactions. But the challenge does remain the valuation. And I think we are hypersensitive on price. If we were going to pursue a consolidation, it has to be at the right price. And that's been, I think, the biggest impediment for some of the smaller drillers combining with the large drillers. But we do think that, that would benefit the industry because, as Kevin said, that scale continues to be an important competitive advantage for the larger drillers.
Keith MacKey: Yes. Got it. And just on the $30 million of upgrade CapEx that you're contemplating for this year, roughly how many rigs would that cover? And would you expect all of those to go to work in 2025? Or is this on a we'll spend it as needed basis?
Carey Ford: For sure, we'll spend it as needed, and we'll make sure we have direct line of sight to customer contracts like we always do. Depending on the scope of the upgrades, it's probably somewhere in the 6 to 10 rig range, looking at long reach horizontal 4-mile laterals and book load capacity for that and the mud pump capacity for that.
Kevin Neveu: Keith, I'll expand a little bit, though. I will say that when we built out our fleet of Super Triple rigs, we built these rigs with expanded capabilities in mind. For us, equipping a rig to go from, call it, 750,000 pound book load to 1 million pound book load is a modification to the rig. It's not a replacement of the mask. And we think that's a real spending advantage and capital advantage when it comes to increasing capacity. On the mud pumps, going to a larger capacity mud pump is slide the old mud pump out, put the new mud pump and drive system in. Everything else in the rig stays as is. So the modular style of our rigs allows us to make these upgrades without affecting the entire rig, just to effectively bolt on the change and move forward.
Operator: Our next question comes from Waqar Syed with ATB Capital Markets.
Waqar Syed: Kevin, on the international side, you have 8 rigs working, but I think contract on one of the rigs expires in the second half. Is that a rig in Saudi or Kuwait? Could you enlighten that? And then I know that you mentioned that you expect flattish 8 rigs working through the year. But what's your confidence level that it stays at that 8 level?
Kevin Neveu: Yes, I'm pretty confident it stays at 8 level. We'll seek an extension, which is pretty common. And in the absence of extension, there are active bids right now that will be bidded. So I'm quite confident that, that high-technology rig stays operating at a similar return in Kuwait.
Waqar Syed: Okay. And then closer to home in U.S., you typically see some seasonality in rigs come down in the Rockies during the winter months. Have you seen that this year as well? And if so, how many rigs have been affected? And when do you expect them to come back up again?
Kevin Neveu: Yes. We've kind of run between 3 to 5 rigs in the Northern Rockies in Wyoming that came into Precision through the CWC acquisition primarily. And those are quite seasonal rigs. And despite the fact that winter rise, the operators only drill seasonally. So I expect some of those rigs to come back in the spring once we get past the winter season.
Waqar Syed: So right now, just to clarify, are those 3 to 5 rigs all down or there are still some of them are working?
Kevin Neveu: Yes. Two are down right now, and those two likely come up when we get into spring.
Waqar Syed: Okay. Great. And then is there a way to quantify the impact of FX change or inflation on your CapEx budget versus everything else in terms of more work?
Carey Ford: Waqar, I think this year, it was about $8 million was the difference between kind of if you look at the maintenance capital year-over-year, a big cause of the increase has been the weaker Canadian dollar.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to Lavonne.
Lavonne Zdunich: Thanks, everyone, for attending Precision's conference call and webcast today. If you have further questions, you can reach out to myself in the Investor Relations department. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.